Operator: Good morning ladies and gentlemen, and welcome to the Canadian Natural Resources' Q1 2016 Earnings Call. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, May 5, 2016 at 8 o'clock AM Mountain Time. I would now like to turn the meeting over to your host for today's call, Mark Stainthorpe, Director, Treasury and Investor Relations of Canadian Natural Resources. Please go ahead, Mr. Stainthorpe.
Mark A. Stainthorpe - Director, Treasury and Investor Relations: Thank you, Dan. Good morning and thank you for joining our first quarter 2016 conference call, where we will discuss our operational and financial results. With me this morning are Steve Laut, our President; Tim McKay, our Chief Operating Officer; and Corey Bieber, our Chief Financial Officer. Before we begin, I'd like to refer you to the comments regarding forward-looking information contained in our press release and also note that all amounts are in Canadian dollars and production and reserves are expressed as before royalties unless otherwise stated. I'll now pass the call over to Steve.
Steve W. Laut - President & Non-Independent Director: Good morning, everyone, and thank you, Mark. Before I start this morning, let me comment briefly on the forest fires in Fort McMurray and the significant impact on the residents of Fort McMurray. We are working to ensure that (1:19) affected residents of Fort McMurray are provided support during this time. We have provided accommodation at our camp for approximately 800 people on Tuesday from Fort McMurray which includes employees and their families. We have offered the support of our aerodrome service to help officials for firefighting efforts and a portion of our firefighters and equipment are in the city helping to fight fires. In the last 24 hours, we sent out numerous flights from our aerodrome, moving out over 1,400 of our own non-essential people to make space in our camps for evacuees and flown out an additional 1,200 evacuees so they can find shelter in Edmonton or Calgary. We're actively involved with government agencies and providing whatever assistance we can in terms of firefighting and support for the community. Many people are currently moving in and out of our camps. We've seen some operation outages, but current operations remain stable, as about 78% of the Horizon team is on a fly-in, fly-out basis. Turning back to the quarter, Canadian Natural remains in a strong position. Operationally, we delivered all production volumes within guidance. Operating costs were down again from Q1 2015, 13% for our E&P oil production, 14% for North American gas production, and down once again 7% at Horizon from Q4 2015, with industry-leading operating cost of $26.55 a barrel. As a result, Canadian Natural's netbacks were positive, despite the low commodity prices in the first quarter, triggering $657 million of cash flow in Q1. A reflection of the resilience of our strong, diverse and well-balanced asset base, the robustness of our business model, the effectiveness of our strategies and importantly, our ability to execute these strategies. Canadian Natural continues to adapt and effectively navigate through this low commodity price environment. Canadian Natural's operations are effective and efficient, combined with our significant capital flexibility, allows us to maintain adequate liquidity, keep relative balance sheet strength, and maintain investment grade ratings, providing access to capital markets, as well as ensuring returns to shareholders. Canadian Natural is built for low commodity prices. In 2016, Canadian Natural's committed to the continued lowering of the overall cost structure. We will complete the 45,000 barrel a day Horizon Phase 2B, with start-up targeted in five months, and progress the 80,000 barrel a day Horizon Phase 3, with start-up targeted for Q4 2017. We'll maintain our asset based optionality and most importantly, preserve our balance sheet strength, our investment grade ratings, and returns to shareholders. Canadian Natural is in the final stages of our transition to long-life low-decline assets, with Horizon 2B coming on in five months and Phase 3 starting up in Q4 2017. As a result, in five months, our asset base strengthens significantly, and we become even stronger, more robust company. Horizon expansion capital dropped significantly in Q4 2016 to $250 million, and with Horizon 2017 capital dropping to roughly $1 billion and into zero in 2018. Horizon op costs dropped to roughly $25 a barrel in Q4 2016, and below $25 a barrel in Q4 2017. Both of these numbers are likely conservative, considering we delivered $26.55 a barrel op cost in the first quarter. Continuous improvement in our reliability and op cost enhances netbacks and adds significant value to the Horizon production stream. And with a larger portion of Canadian Natural's asset base being long-life, low-decline assets, our average corporate decline rate drops to roughly 13% in 2018. As a result, our maintenance capital to hold production flat is significantly less compared to a typical E&P company, at roughly $2.6 billion in 2018, with production levels targeted in the 840,000 BOE/d to 860,000 BOE/d range. Importantly, Canadian Natural's Q4 2016 cash flow, at $30 WTI, well below the current strip, covers that capital spend and dividend. At the current strip of $48 (5:39) in the fourth quarter, we will generate over $500 million of cash flow over and above our capital spend and dividends. In 2017, the unallocated cash flow over capital required to keep production flat and dividends increases significantly. And in 2017, we target in excess of $865 million of unallocated cash flow at $43 WTI. And in 2018, we target $2.1 billion of unallocated cash flow at $45.50 WTI. Canadian Natural will, as we always have done, take a balanced and prudent approach to how we allocate this unallocated cash flow. We'll balance the allocation of cash flow between the following four priorities: balance sheet strength and investment credit ratings. They are important to Canadian Natural, and the strengthening of our balance sheet will take on a higher priority as we bring on Horizon volumes. We expect our balance sheet to strengthen quickly. Returns to shareholders are also important. And Canadian Natural is committed to return to shareholders in all phases on the commodity price cycle. Resource development, Canadian Natural has a deep and diverse inventory of near, mid, and long-term projects. As we complete the transition to long-life low-decline assets, our corporate decline rate drops; as a result, we are able to – able in a low-commodity price environment, to deliver 3% to 4% compound annual growth rates on a per-share basis. Commodity prices are higher than anticipated. We have the inventory and the ability if we choose to quickly and effectively allocate more capital to resource development and deliver additional annual growth rates over and above the 3% to 4% compound rates targeted. The fourth priority is opportunistic acquisitions. Allocation of cash flow to acquisitions is by its very nature unpredictable, plus we have no real gaps in our portfolio, so we do not see the need to do any acquisitions. That being said, acquiring and integrating properties is one of Canadian Natural's key competencies and we are not adverse to allocating cash flow to acquisitions if they make sense and add value on a per-share basis. Canadian Natural's an effective allocator of capital; and as we complete the transition to long-life low-decline assets, starting with Horizon Phase 2B in five months, our balance sheet quickly strengthens and becomes very robust. We are able to maintain our diverse well-balanced asset base and deliver value growth, and importantly return value to shareholders. As you can see, Canadian Natural is a unique E&P company. I'll now turn it over to Tim to highlight the strength of our assets.
Tim S. McKay - Chief Operating Officer: Thank you, Steve. Good morning everyone. I will now do a brief overview of our assets. Starting with natural gas, our first quarter volumes of 1.786 Bcf a day was an increase of approximately 5% from Q4 2015. Quarter volumes were reduced by 40 million a day as gas properties were shut-in due to low commodity prices and third-party pipeline restrictions. As well, an additional 22 million a day were shut-in due to the third-party plant issue in British Columbia. Those issues continue in Q2 and are reflected in our guidance. With the low natural gas prices, we are targeting to shut-in an additional 40 million a day by the end of 2016. Primarily these properties are related to high processing contract in British Columbia. As contracts come up for renewal, we will either shut-in the gas or negotiate lower fees that makes sense for long-term pricing. We have done a good job in reducing our North American natural gas operating cost by 14% when comparing Q1 2016, Q1 2015. While this is a good result, we're looking to further reduce our costs in 2016. Our annual corporate natural gas guidance is 1.725 Bcf per day to 1.785 Bcf per day. Our North American light oil and NGL in Q1 2016 was approximately 90,000 barrels a day flat to Q4 2015. And we're targeting to keep this production relatively flat for 2016. In all areas, we continue to optimize water flood, stimulate wells, and leverage the technology to maintain our volume. As well, we continue to drive operating costs down by 21% when comparing Q1 2016 to 2015 with current operating cost of $12.87 per barrel. At both Espoir and Baobab, the drilling programs have been very successful exceeding our original sanction volumes while incurring lower development cost. At Espoir, only six producers and one injector were completed out of the original 10 well program. However, the seven-well program delivered approximately 6,900 BOE/d versus 5,900 BOE/d (10:27) and the cost per well were 23% less than were duly estimated. As Baobab, the six producing wells delivered over 13,000 barrels a day versus a sanction of 11,000 barrels a day with project to cost approximately 18% below what we've estimated. With well design improvement completed on the final well, we realized cost improvement of almost 50%. Each design changes will be incorporated future location at Baobab, further improving our economics. When combined with our low operating cost of approximately U.S.$7.50 per barrel, this will be an excellent area for future investment. In the North Sea, we continue to optimize water floods, working over wells and keeping our production flat when comparing Q1 2016 to Q1 2015, which is a great result. Reliability, operational improvements have continued to help reduce our operating cost in the North Sea, down 27% from Q1 2015. For Q2 2016, we're targeting an average cost of 55,000 barrels a day to 60,000 barrels a day from our international business. In heavy oil, Q1 2016, we averaged approximately 114,000 barrels a day versus the Q4 average of approximately 120,000 barrels a day. For the quarter we shut in approximately 900 barrels a day average due to lower prices. Our heavy oil operating costs continue to be industry leading, and we continue to drive effectiveness, efficiencies in this core area, leveraging our infrastructure with 24% reduction in operating costs from Q1 2015. In the first quarter, we had a very small program of six wells that helps maintain our land base for future development. A key component of our long life, low decline transition is our world class Pelican pool, where leading edge polymer flood is driving significant reserves and value growth. Q1 production was approximately 47,600 barrels a day as we completed wellbore cleanouts and some injectors and producers during this quarter. Currently production is back with 49,000 barrels a day as (12:37) continues across the pool. In Pelican Lake, we've been able to take our industry leading op cost down 20% with the first quarter operating cost at $6.90 per barrel from comparing Q1, 2015. In Q1, 2016 (12:55) properties combined to produce over 118,000 barrels a day consistent with our Q1 guidance. At Kirby, as was previously talked about the repairs and (13:05) completed on time at the end of March and currently Kirby is producing over 38,000 barrels a day at an SOR of 2.7. As well updating our Primrose East pipeline details engineering assessment and repairs are being completed and we expect the pipeline to be back in service in May which will bring on approximately 15,000 barrels a day. Our thermal operations continue to be effective and efficient with $10.60 operating cost in spite of the temporary shut in of the Primrose East production in the quarter. At Horizon, we continue to focus on safe reliable production as we continue to improve our operating costs repaired in phase 2B on production and target access 2016 at 182,000 barrels a day. In the first quarter of 2016, we produced 127,909 barrels a day at the upper end of our Q1 guidance. The liability at horizon gives an industry lead and we take pride in our safe reliable operations which we are best in class. At Horizon, we are delivering an industry leading operating costs which were down 11% when compared to Q1 2016, 2015. Our operating cost of $26.65 a barrel shows we are well on our way as we target operating cost to be below $25 a barrel in Q4 with Phase 2B extra production of 182,000 barrels a day. This July, we are targeting start of 35 day turn around, the work is well planned and we are ready to execute it to ensure the reliability of our new nameplate capacity. As well, during the turn around, the outage we will complete a tie in of Phase 2B equipments. Both Phase 2B and Phase 3 construction activities are on track. Horizon Phase 2B not only on track in terms of constructions, but the commissioning of plant systems is underway and tracking to our plant. We target to have 20% of the systems commissioned by May just under 60% by the end of June and roughly 80% in July. The stage commissioning allows us to take a disciplined systematic approach ensuring critical work we completed early which enhances our facility to safely and effectively start up Phase 2B in Q4. There is a lot of work to be completed by our people on site. They understand the scope and they are up to the task. In summary, Canadian Natural has made significant gain in optimizing our production and reducing our costs across the company. We will continue to look ways to become more effective and efficient and further reduce our cost in 2016. We will continue to focus on safe, reliable operations and enhancing our top tier operations in this low price environment. I will now turn it over to Corey for the financial review.
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Thank you, Tim, and good morning everyone. I will go through a few financial highlights of the first quarter 2016 results. Despite exceptionally low WTI pricing of about $33.50, we still earned positive netbacks in each of our Canadian E&P product line. This, as Tim pointed out, was achieved through continually driving cost efficiencies and reduction throughout our business. At Horizon, operating cost of $26.55 reflected high utilization rates and further cost efficiencies. G&A cost further reduced to $1.14 per BOE reflecting cost synergies and strong team effort to reduce costs. We managed our capital and maintained the dividend and as Steve pointed out maintained our investment-grade ratings. Cash flows of $657 million cover the vast majority of the capital program which is designed to support completion of Horizon Phase 2B in just five months. During the first quarter, UK government enacted legislation to reduce PRT rates from 35% to nil effective January 1, 2016. The net impact of this was a non-cash deferred PRT tax pickup of $114 million. UK government also announced its intension to reduce the supplementary tax charge rate from 20% to 10%. As a result of these changes the effective tax rate for PRT paying fields will reduce from the 81% level of past years to above 40% and the non-PRT paying fields reduce from 62% level to about 40% as well. In looking at the remainder of 2016, the strengthening of WTI and heavy oil pricing will have a positive impact on cash flows. This will be somewhat tempered by weak Canadian natural gas prices as well as the increasing strength of the Canadian dollar. This Canadian dollar strength will however also reduce the carrying value of our U.S. dollar debt. As a result of these forces, today we target net debt to over book capitalization to exit 2016 at just under the 40% range and the debt-to-EBITDA exit at around four times. Both significantly below the estimates we targeted in the March update. These estimates were based on a strip price of $43.88 WTI, $1.74 (18:08), and a $0.78 dollar. As Steve earlier mentioned, Q4 2016 becomes an inflection point where the next tranche of Horizon production comes on stream and the Horizon expansion capital expenditures reduce to only funding Phase 3. At this point, the company again generates free cash flow more than sufficient to cover its dividends. In fact, we estimate we cover our capital expenditures and dividend at approximately $30 WTI pricing. In 2017, we benefit from the full year of Phase 2B production adds and related cash flow, while we complete the build-out of Horizon Phase 3, we forecast to modestly reduce debt in that year. For 2018, we target to complete the Horizon Phase 3 expansion, further increasing cash flows and eliminating Horizon expansion CapEx amounts. In short, the company is very close to a targeted completion of the Horizon expansions, following which the company is committed to reducing its overall debt levels and leverage metrics back to within its long term targets. Liquidity is ample at $2.3 billion at quarter-end and beyond this, as such a large company, we retain a great many levers at our disposal to further bolster liquidity if required, including the exercise of capital discipline, potential monetization of cross-currency in-the-money derivatives, and the potential sale of our remaining royalty revenue streams. These streams currently represent approximately 2,200 BOE/ds which is about 50% third party. The fact that our production base is long-life and low decline, and in particular, the no-decline Horizon asset, this allows us great flexibility and time to react to commodity price volatility. In my opinion, few companies would be able to effectively execute in such a volatile environment while still achieving long-term goals and not compromising financial integrity. Company is already seeing the benefits of transition to a long-life low-decline asset base, and how it can generate and maintain cash flows even during the trough of the cycle. The completion of Horizon Phase 2B is only a few months away, and this will continue our transition and bolster our financial strength. Steve, back to you.
Steve W. Laut - President & Non-Independent Director: Thanks, Corey. 2016 is a milestone year for Canadian Natural. Our transition to a long-life low-decline asset base is coming to completion. Our corporate decline rates are reduced, our maintenance capital costs are low relative to typical E&P companies. As a result, Canadian Natural becomes stronger and more robust With Q4 2016 cash flow covering capital and dividends at $30 WTI, well below strip, and the current strip of $48 (20:46) in the fourth quarter, we will generate over $500 million of cash flow over and above our capital spend and dividends. In 2017, the unallocated cash flow over capital required to keep production flat and dividends increases significantly, and in 2017, we target in excess of $865 million of unallocated cash flow at $43 WTI. And in 2018, we target $2.1 billion of unallocated cash flow at $45.50 WTI. Canadian Natural will, as I said earlier, as we've always done, take a balanced and prudent approach in how we allocate this unallocated cash flow. We'll balance the allocation of cash flow between the following four priorities: balance sheet strength and investment grade ratings; they are important to Canadian Natural, and we expect our balance sheet to strengthen quickly. Returns to shareholders are also important, and Canadian Natural's committed to return to shareholders in all phases of commodity price cycle. Resource development; Canadian Natural has a deep and diverse inventory of near and mid-term and long-term projects. We target delivering 3% to 4% compound growth rates on a per-share basis, which could increase, if we choose, with higher commodity prices. The fourth priority is opportunistic acquisitions. We have no gaps in our portfolio, therefore acquisitions will happen only if they make sense and add value on a per-share basis. Canadian Natural is an effective allocator of capital and as we complete the transition to a long-life low-decline assets starting Horizon Phase 2B in five months, our balance sheet quickly strengthens and becomes very robust. We are able to maintain our diverse well balanced asset base to deliver value growth and importantly, returns to shareholders. As you can see, Canadian Natural is a unique E&P company and is built for low commodity prices. That concludes our comments this morning, and we'll now open the line for questions.
Operator: Your first question comes from the line of Phil Gresh from JPMorgan. Phil, your line is open.
Philip M. Gresh - JPMorgan Securities LLC: Hey, good morning. First question is for Corey. The leverage targets that you are now giving for year end, I was just curious number one, does that include any kind of monetization of the cross currency swaps or is that something that would be incremental and then, if you take that and roll it forward to the leverage targets you talked about on the fourth quarter call as we look out to say 2018, does that lower starting point in any way pull forward when you will get to the target you want to get to?
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Thanks, Phil; good question. The cross currency swap monetization is not included in that year end forecast that is strictly a function of lower debt because of the stronger Canadian dollar and much stronger EBITDA because of increased – improved WTI and lower operating costs. So that is the two forces there. It does accelerate when we get back into our range by 2018 that will be a few quarters earlier than we had originally targeted.
Philip M. Gresh - JPMorgan Securities LLC: Okay. And then in terms of the operating cost targets, just the comment that the oil sands operating cost could be conservative at $25. I mean rough order of magnitude how much lower are you thinking these could be if you're executing on all cylinders?
Steve W. Laut - President & Non-Independent Director: Thanks, Phil. I think that's a difficult question obviously we are $26.55 here in the fourth quarter and about 128,000 barrels a day, 129,000 barrels a day, so when you get to 182,000 barrels a day, most of the costs are fixed so you can almost ratio, but not quite because mining is linear with production. So we think we will be down well below $25 getting closer to that $20 range, but we'll wait and see how it all shapes out first.
Philip M. Gresh - JPMorgan Securities LLC: Okay. And then just in terms of the M&A priorities, obviously it's fourth on the list, but maybe if you could just talk about oil versus gas geographies, just how you think about the portfolio and what you might want to do longer term?
Steve W. Laut - President & Non-Independent Director: I think for acquisitions, our view is – we don't have any gas in our portfolio. So that has to be purely opportunistic, and they have to add value, and they have to make sense, so that likely means it's going to fit in with our core areas. We have no bias towards oil or gas. We are strictly focused on value growth. But again, as I said, we don't have any gas in our portfolio, so it's not a big priority for us.
Philip M. Gresh - JPMorgan Securities LLC: Sure, okay. I'll turn it over. Thank you.
Operator: Your next question comes from the line of Neil Mehta of Goldman Sachs. Neil, your line is open.
Neil Mehta - Goldman Sachs & Co.: Good morning, guys.
Steve W. Laut - President & Non-Independent Director: Good morning.
Tim S. McKay - Chief Operating Officer: Good morning.
Neil Mehta - Goldman Sachs & Co.: Want to kick it off on these industry-wide production outages in Alberta due to some of the tragic events around the wildfires. Do you guys have an early read, in terms of how much production is out in Alberta? And then, any thoughts on the near term impacts on things like the differentials?
Steve W. Laut - President & Non-Independent Director: I don't think we have a really good read what the other operators are doing. We know where we are. We've had some small outages, just around sort of pipeline stoppages, but overall, we haven't seen much in terms of the oil sands. Our operations are steady, as I said earlier. 78% of our staff is fly-in, fly-out, so we're able to get in and out, and it hasn't affected us that much. That being said, we are reliant on power, electric power, and so if the fire knocks out power, then we would be down to internally generated power. At that rate, we'd probably be in that 70,000 barrel a day range, versus 130,000 barrel a day to 135,000 barrel a day, so that could be the impact. Right now, we think we're okay. There is other fires across the province that are impacting some of our gas production and so potentially, we could have about 32 million a day offline, and maybe another 900 barrels a day of NGLs.
Neil Mehta - Goldman Sachs & Co.: Appreciate that. And then, just a comment on the regulatory environment in Alberta; it looks like, since the last time we talked, we've gotten a little bit more clarity in terms of the royalty regime, and seem less punitive than some folks feared, so any thoughts on the impact of those royalty regimes, and how that makes you think about whether it makes sense to sanction the additional projects on a go-forward basis, because I think you had cited regulatory uncertainty as one of the gating factors behind new project construction?
Steve W. Laut - President & Non-Independent Director: I think overall, the new royalty regime is relatively neutral compared to the old regime. We are supportive of it, and one of the, I would say, modernizing factors of this new royalty regime is the fact that it's cost-based. So, it will reward operators who are more cost effective, and so we are very focused on costs. So, I think this could be a benefit for us because, as long as you beat the average in terms of costs, you'll be – come out a winner with this royalty system versus the old royalty system.
Neil Mehta - Goldman Sachs & Co.: All right, guys. Thank you very much.
Operator: Your next question comes from the line of Greg Pardy from RBC Capital Markets. Greg, your line is open.
Greg Pardy - RBC Dominion Securities, Inc.: Thanks. Thanks, good morning. Steve, just wanted to touch on your hedging; unusual for you guys not really to have any hedges in place. But you've just spent a fair bit of time talking about falling decline rates and much more free cash flow going forward. How should we be thinking about your hedging policy, particularly in the oil side, and are you gravitating away from the need to hedge? Thanks.
Steve W. Laut - President & Non-Independent Director: I think Greg, as we always said before, we only hedge to ensure we have the cash flow to deliver our capital program and the safety of our balance sheet. We are in a position now, especially as we have Horizon Phase 2B coming on, that we have much – very sustainable low decline rates and solid production with good netbacks, and that allows us not only to fund our capital program and dividends, but to pay down the balance sheet. So, we are not seeing the need to do hedging, especially at these levels.
Greg Pardy - RBC Dominion Securities, Inc.: Okay. Thanks very much.
Operator: Your next question comes from the line if Nima Billou from Veritas Investment Research. Nima, your line is open.
Nima Billou - Veritas Investment Research Corp.: Thank you. Good morning. Just, I'm glad you guys were very conservative with respect to questions on M&A. Wouldn't your leverage level right now preclude you from any transformational or meaningful acquisitions at this point, unless you were to combine them with assets sales?
Steve W. Laut - President & Non-Independent Director: Yes, I think that's a good point. I think the real point is we have no gas in our portfolio, so we have no need to do acquisitions. So as was pointed out earlier, it's fourth on our list of things to do. So, I wouldn't expect us to do that.
Nima Billou - Veritas Investment Research Corp.: And are you already seeing and I am glad you also laid out pricing for April, May and June, so clearly you may have hit sort of a bottom in Q1 with respect to product pricing across the portfolio, light oil or heavy oil. Are you starting to see discounts narrow and pricing starting to pick up?
Steve W. Laut - President & Non-Independent Director: Are we starting to see that? We have seen some of that, but it's still a volatile market; hopefully, we're coming off that bottom, but I think it's a too early to declare that we have come off the bottom.
Nima Billou - Veritas Investment Research Corp.: Okay. Right, thanks very much.
Operator: You next question comes from the line of Mike Dunn from FirstEnergy. Mike, your line is open.
Michael P. Dunn - FirstEnergy Capital Corp.: Thank you. Good morning, everyone. Couple of question for me. First, apologies if I missed it, but your – the PrairieSky shares that you need to I guess distribute to shareholders, are you still intending to do that I guess Q2 around the AGM or is that not necessarily the case?
Steve W. Laut - President & Non-Independent Director: Okay, Mike, thanks for that question, and we are looking at it and it will be decision for the board. It is on the agenda for the board this morning, and we'll have the shareholder board at the AGM today. So we'll know more news here as we progress through the day.
Michael P. Dunn - FirstEnergy Capital Corp.: Thanks Steve. And second question for me is on Primrose East. Now that it appears you've got the path forward of the final word from the regulator there in the pipeline repairs will be done soon here. What are you planning to do there for the rest of the year and I guess going forward to restore production? Thanks.
Steve W. Laut - President & Non-Independent Director: Okay, Mike. So, obviously we have the approvals to go back to low pressure steaming in Primrose East, which we will do and once we get the pipe repaired that will happen here in May and then we'll start our Primrose East steam. That is actually – right now, we're (32:35) the wells, so we'll be ready to go when the pipe is – finished here in May.
Michael P. Dunn - FirstEnergy Capital Corp.: Okay.
Steve W. Laut - President & Non-Independent Director: And as Tim said, that will add 15,000 barrels a day production.
Michael P. Dunn - FirstEnergy Capital Corp.: Great, Steve, thank you. That's all for me.
Operator: Your next question comes from the line of Chris Feltin from Macquarie. Chris, your line is open.
Chris Feltin - Macquarie Capital Markets Canada Ltd.: Thank you. Good morning, guys. Couple unrelated questions here, but the first one is pretty easy. I noticed power prices in Alberta here have been exceptionally weak, and just kind of curious first off, like how much of that do you think is driving some of the OpEx gains that you guys have seen obviously natural gas be in the other part of the energy component? And then the second question is more related to the fires here again, I suspect it's probably too early to really tell here, but is there any risk here from the longer term supply issue, just coming out of Fort McMurray in terms of the services and suppliers serving that broader region. Obviously the news flow is coming pretty quick here, but just kind of wondering what your initial thoughts are here in terms of what that impact could be?
Steve W. Laut - President & Non-Independent Director: I'll answer the second question first and then Tim can answer the power price question. On the risk of supply and services, I think it's way too early to say. We don't know exactly how much damage is there. It's a very resilient and I'd say innovative service and supply industry here in Alberta and in Fort McMurray. I expect we'll cover fairly quickly, but it's too early to say how much damage has actually been done to equipment and operations in the Town of Fort McMurray. Tim?
Tim S. McKay - Chief Operating Officer: Then as far as the power and fuel costs, it has small impact on our operations. As you've seen over the quarters, thermal for example, the operating costs are relatively flattish. So, it's a small impact in general.
Chris Feltin - Macquarie Capital Markets Canada Ltd.: Okay, thanks.
Operator: And we have no further questions in the queue at this time. I'd turn the call back over to the presenters.
Mark A. Stainthorpe - Director, Treasury and Investor Relations: Thanks, Dan, and thank you everyone for attending our conference call. As reflected in our first quarter results, Canadian Natural has a strong diversified asset base with the proven strategy that continues to deliver in challenging market conditions. Our focus on safe, effective and efficient and reliable operations is supported by a strong financial position while our plan for creating long-term shareholder value remains on track. If you have any further questions, please give us a call. Thank you and we look forward to our Q2 conference call in August. Thank you and good bye.
Operator: This concludes today's conference call. You may now disconnect.